Operator: Good morning everyone and welcome to The New York Times Company’s First Quarter 2023 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note, today’s event is being recorded. At this time, I would like to turn the floor over to conference over Mike Brown, Vice President, Assistant General Counsel and Corporate Secretary. Please go ahead.
Mike Brown: Thank you, and welcome to The New York Times Company's first quarter 2023 earnings conference call. On the call today, we have Meredith Kopit Levien, President and Chief Executive Officer; and Roland Caputo, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call. These statements are based on our current expectations and assumptions, which may change over time. Our actual results could differ materially due to a number of risks and uncertainties that are described in the company's 2022 10-K and subsequent SEC filings. In addition, our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. And finally, please note that a copy of the prepared remarks from this morning's call will be posted to our investor website shortly after we conclude. With that, I will turn the call over to Meredith Kopit Levien.
Meredith Kopit Levien: Thanks, Mike, and good morning, everyone. Last year, we presented the next phase of our long-term strategy with the goal of becoming the essential subscription for every curious English-speaking person seeking to understand and engage with the world. In the first quarter, we made steady progress on that strategy with clear signs of substantial runway ahead. Let me share some of the highlights. We crossed 3 million bundle and multi-product subscribers in the quarter and hit a number of new records for bundled uptake. We drove sequential ARPU expansion as we fully applied our value-based pricing strategy, we enjoyed the strongest enterprise-wide subscriber engagement we've seen in more than a year, and we slowed cost growth for the third consecutive quarter through disciplined cost management. Our performance in the quarter reflects our strategy playing out as it was designed to, with our high-quality product portfolio and multi-revenue stream models, giving us a variety of levers for growth even in an uncertain market. And the cash-generative nature of our model was on full display. I'll turn now to the quarter's specifics. We added 190,000 net new digital subscribers roughly on pace with the last three quarters growth delay in miserable market headwinds. We now have more than 9.7 million total subscriber remain on the path for a goal of 15 million subscribers by year-end 2027. Thanks to aggressive marketing across all of our product [funnels] [ph]. We had our highest ever number of bundled starts in the quarter, highest percentage of bundle starts, and highest number of bundle upgrades. This matters as strong uptake of the bundle is a positive signal of revenue growth because the average bundled subscriber engages more, pays more, and retains better than the average single product subscriber. Subscriber engagement in the quarter measured in weekly usage was especially strong driven in-part by high usage from early tenure subscribers, many of whom who bought the bundle. We also continued our deliberate efforts to grow top line audiences and widen our pools of high-quality prospects across our product portfolio. That work is intended to be a driver of medium-and-long-term subscriber growth. And also to counteract the headwinds on news we've talked about for some time now, including slowing referrals from the platform and fluctuations in demand driven by a changing used cycle. While the full impact of this work will play out over time, we're already seeing results. Progress was most evident on the Athletic where weekly active users are up 50% year-on-year, and new registrations have grown strongly. This is the result of leaning into covering the daily sports news cycle and big game moments, while tapping into new audiences by a time and off-platform. We're pleased with this early progress, which validates our approach and sets us up well to capitalize on the big opportunity we see in sports. More than a year into our ownership, Wordle is still attracting tens of millions of passionate players each week and acting as a robust top of the funnel to both NYT games and the bundle. And we've been busy adding value to NYT games, so that as world players move deeper into the games funnel, they find more reasons to convert and retain. We added sudoku puzzles into the app in the quarter and continue to drive strong engagement with Spelling Bee. Another area of momentum was pricing. We advanced a coordinated set of pricing strategies in the quarter, designed to drive the modest digital ARPU expansion we've been aiming for while continuing to scale subscribers. To optimize for conversion, we used attractive promotional pricing for the bundle in combination with a new full funnel bundle marketing campaign.  We also continued to have success in the quarter stepping up subscribers on promotion to interim and full prices at the one-year mark. And the high levels of engagement we see with early tenure bundled subscribers give us confidence that we'll be able to continue stepping up subscribers to higher prices as their tenure increases. We also began rolling out price increases for tenured non-bundled news and games subscribers toward the end of the quarter, and we are pleased with the early results. We expect this component of the playbook to increase digital ARPU in Q2 and beyond, while driving even more people to the bundle as its relative price becomes more attractive. The net result is that in Q1, we had our fully coordinated value-based pricing strategy in action aimed at maximizing the lifetime value of our growing subscriber base. Let me turn now to average [indiscernible]. Macroeconomic pressure on our ad business is playing out largely as we thought it would, although visibility from quarter-to-quarter remains a challenge and we expect it to continue to impact our ad business in the near-term. Given this volatility, advertising was down more than we expected in the quarter, a function of marketers pulling back on brand spend, especially in some of our largest categories like tech, finance, and media. We view this as cyclical, meaning nothing has changed in our optimism about advertising as a medium and long-term growth driver. In fact, there were a number of encouraging signs about the competitiveness of our ad product set and growth prospects. Direct sold premium display advertising held up well in the quarter, which we believe reflects the effectiveness of our proprietary ad canvases, and first-party data to drive performance for marketers. Athletic advertising was also strong. We doubled revenue over the last year, and we added new advertisers to the enterprise. We have big ambitions for advertising, especially as we apply our high-performing ad products across the bundle. To help us realize those ambitions, during the quarter, we hired a seasoned new leader, Joy Robbins as Global Chief Advertising Officer. Joy is our first outside executive hire in advertising in a decade and has hit the ground running with our strong team. Beyond subscriptions and advertising other revenue, which includes our wire cutter affiliate business, licensing, and more was strong in the quarter. And is another testament to the power of our multi-revenue stream model. Let me spend a few minutes now on costs. Q1 was the third consecutive quarter during which we meaningfully slowed cost growth. Consistent with our plans in the last two quarters, we found efficiencies in three major areas. First, given the fact that we continue to drive the vast majority of our subscribers starts, organically, we reduced our overall marketing spend while also making the dollars we did spend more efficient. These savings are strategic as we continue to lean into our product as a more and more effective driver of growth. We also continue to actively manage headcount growth, particularly in digital product development, where we have succeeded in attracting top-tier talent and expect growth to slow from here. And finally, we're always on the lookout for ways to modernize our legacy operations and to find efficiencies. Over the last two quarters, that has resulted in modest headcount reduction in non-digital areas of our business and G&A functions. I'll summarize the quarter's results by saying that we're making steady progress executing our strategy in a dynamic market. While advertising continues to experience near-term challenges, our bundled strategy is gaining momentum subscriber engagement metrics are strong, pricing initiatives are taking hold and we're slowing cost growth. Our strategy was purpose-built to give us multiple growth levers and we are confident that we're on the path to building a larger and more profitable company. Now, before I close, I want to congratulate my colleague, Will Bardeen, will become our next CFO effective July 1. Will's appointment follows the comprehensive search to identify roll-in successor. We evaluated many talented candidates, and it was clear that Will is the most uniquely suited and qualified leader to step into the role. Will has served as the Times’ Chief Strategy Officer since 2018 and as a key leader within our finance organization. In my 10 years here, Will has been a driving force in all the major strategic decisions we made to put us on the promising path we're on today. Few people understand our business, our strategy, and the market better than Will, and we're confident he is the right person to help the Times deliver on our financial and operational goals. Among his early priorities as CFO, will be to ensure that we're communicating as clearly as possible with investors so they understand the track of our progress. And finally, I want to take a moment to celebrate Roland and his 37-year career at the New York Times. Now many of you on this call know rolling personally and understand what a wonderful leader and colleague and person he is. So, much of our strong relationships with the investment community our reputation as good stewards of capital and our commitment to financial discipline is attributable to Roland. And on top of being a remarkable strategic and financial operator and representative of the times, Roland has been a trusted partner an adviser to me and so many others, and I will miss him very much. Roland will stay on with the company through the end of September to help ensure a smooth transition of responsibilities and our entire team wishes him all the best and a well-deserved retirement. And with that, I will hand it back to Roland one last time.
Roland Caputo: Thank you, Meredith, and good morning. As Meredith said, in the first quarter, we made steady progress executing on our strategy with plenty of runway ahead. Turning to the specifics of the quarter. Adjusted diluted earnings per share was $0.19, $0.02 lower than in the prior year. We reported adjusted operating profit of $54 million in the quarter, lower than the same period in 2022 by approximately $7 million. Adjusted operating profit at The New York Times Group was approximately $62 million, a decrease of approximately $6 million, compared to the prior year, while the Athletic had adjusted operating losses of approximately $8 million, an increase of $1 million compared to the prior year. Please note that the first quarter of 2023 includes three months of results for the Athletic, while the first quarter of 2022 included only two months of Athletic results. Free cash flow in the quarter was approximately $45 million, compared with negative free cash flow of approximately $23 million in the same period of 2022. The $45 million of free cash flow in the quarter was composed of approximately $51 million of operating cash flow, less approximately $6 million of capital expenditures. In the first quarter, the company added 190,000 net new digital-only subscribers with continued strong growth and adoption of the bundle. The number of digital-only bundle and multiproduct subscribers grew by approximately 520,000 in the quarter, driven mainly by increases to the number of new subscribers choosing to bundle augmented by existing subscribers who upgraded to the bundle. We now have over 3 million digital-only bundle and multiproduct subscribers. Moving to revenues. Total subscription revenues increased approximately 7% in the quarter, with digital-only subscription revenue growing approximately 14% to approximately $259 million. Digital-only subscription revenue grew primarily as a result of the new subscriptions we have added in the past year, a large number of subscribers whose introductory promotional subscriptions graduated to higher prices subscribers who have upgraded to the bundle and the additional month of Athletic revenues in 2023. Print subscription revenues declined approximately 4% due mainly to lower volumes in both home delivery and single copy, partially offset by an increase in home delivery ARPU associated with the first quarter price increase. In addition, the new sand price for the daily paper was increased from $3 to $4 in mid-February. Moving to digital-only subscriber ARPU, which includes all of our digital products. On a sequential basis, digital-only subscriber ARPU increased approximately 130 basis points, compared to the prior quarter. Compared to the prior year, digital-only subscriber ARPU decreased approximately 1%, due to 3 percentage points of dilution from the Athletic. It's worth noting that during the quarter, approximately 550,000 digital news and game subscribers were notified of price increases on their individual product subscriptions. These increases will mostly take effect beginning in the second quarter. We expect to notify approximately 1 million additional subscribers of price increases for their subscriptions by the end of the year. Both digital and total advertising revenue decreased approximately 9% in the quarter, coming in below the first quarter guidance we issued. The decline in digital advertising revenue was mainly due to lower revenue from our podcasts and other creative services, which was partially offset by higher advertising revenue at the Athletic. Print advertising was lower by approximately 9%, compared with 2022, primarily driven by declines in the media, advocacy, finance, and technology categories. These print declines were partially offset by growth in the luxury category. Other revenues increased approximately 16%, compared with the prior year to approximately $57 million. The increase is primarily the result of higher television and film, licensing and commercial printing revenues. Adjusted operating costs were higher in the quarter by approximately 6% as compared with 2022, primarily due to growth in the number of employees in our newsroom and an additional month of Athletic expenses, partially offset by lower sales and marketing costs. [All set] [ph] The New York Times Group were less than 3% higher than prior year. I'll now discuss the cost drivers for The New York Times Group. Cost of revenue increased approximately 6% as a result of higher journalism costs related to growth in the number of newsroom employees. Sales and marketing costs decreased approximately 19%, largely due to lower media expenses. Media expenses were approximately $29 million, approximately 34% below last year. Product development costs increased approximately 15% and as a result of growth in the number of digital product development employees in connection with improving our digital product portfolio. And general and administrative costs were higher by approximately 7% due to an increase in the number of employees needed to support the growth in our business over the last several years and one-time building maintenance costs associated with investments in more efficient lighting at our headquarters building, partially offset by lower outside services costs. There were no special items in the quarter. However, a severance charge of approximately $4 million we booked in the quarter. Our effective tax rate for the first quarter was approximately 30% versus an expected marginal rate of 27%, due to a lower tax deduction on stock-based compensation vesting in the quarter. Moving to the balance sheet. Our cash and marketable securities balance ended the quarter at approximately $472 million, a decrease of approximately $14 million compared with the fourth quarter of 2022. The company remains debt-free with a $350 million revolving line of credit available. Share repurchases during the first quarter totaled approximately $31 million. Let me conclude with our outlook for the second quarter of 2023 for the consolidated New York Times Company. Total subscription revenues are expected to increase 6% to 8%, compared with the second quarter of 2022 and with digital-only subscription revenue expected to increase approximately 12% to 15%. Overall advertising revenues are expected to decrease between 4% and 8%, compared with the second quarter of 2022, mainly due to macroeconomic conditions and the comparison to a strong quarter in print in 2022. Digital advertising revenues are expected to decrease in the low to mid-single-digits. Other revenues are expected to increase in the high-single-digits. Both operating costs and adjusted operating costs are expected to increase by approximately 6% to 8%, compared with the second quarter of 2022. We expect expense growth to slow later in the year, compared with the second quarter guidance. Before we go to questions, I would like to take a moment here on my 21st and final earnings call to thank you with the sell-side analysts. For the time and effort you've put in covering The New York Times Company. I would also like to thank the investor community for their continued interest in and support of The New York Times. I've enjoyed working with you over the past five years and wish you all the best. And now we would be happy to open it up for questions.
Operator: [Operator Instructions] And our first question today comes from Doug Arthur from Huber Research. Please go ahead with your question.
Doug Arthur: Yes. Thank you. Roland, thanks for all your help over the years, and William, congratulations on your appointment. Meredith, I'm just trying to untangle these bundled versus subscriber numbers. It looks sequentially that your bundles take-up was very high. I mean you added a lot of bundled subscribers on a sequential basis. The actual digital subscriber number was okay. It was up 120,000. So, the difference between bundled ads and actual underlying subscribers is quite stark in this quarter. Is that a pattern that we're likely to see? And how does that play out in terms of its impact on ARPU?
Meredith Kopit Levien: I make two sort of headline comments then Roland, you might do the detail. It was a very strong quarter for everything about the bundle. As I said in the prepared remarks, our bundle starts were very good, bundle engagement, strong. But the percentage of folks who bought the bundle versus a new seasonal product was very, very good. And the number of people upgrading was very good. And that was all because of kind of deliberate work to make that happen. And Roland can talk in more detail, but all of that should ultimately have a positive effect on ARPU. But Roland, why don't you answer, Doug’s question?
Roland Caputo: Sure. So Doug, in the quarter, we had – and specific to the bundle numbers, we had quite a few new subs, but we also had – and that was the biggest single contributor to the number, but we also had quite a large number of upgrades and most of those upgrades are coming from the news product. So, you don't see an increase in total subscribers from that. You have to switch from one category to the other. We like that because as we said a few times, we like the bundled subscribers, they retain better. We think they'll have a longer life of the company. They'll ultimately pay more. So that should be a positive contributor both to ARPU in the near and long-term and also to life-term value.
Doug Arthur: Okay. And just as a quick follow-up, Meredith, you've made several references over the quarter that the big platforms we're sending less leads to the times. Can you quantify the impact of that versus year-over-year or quarter-over-quarter?
Meredith Kopit Levien: Yes. I can't really quantify it. What I can tell you is, we've talked about it, I think, for three quarters now in a deliberate way because we're feeling the effects of it, and it's kind of across the board. The sort of most prominent example is Facebook has really dramatically shifted away from sending referrals to news and includes the news stab, but I would say it's hipped across the board change. And we are doing a ton of work. We anticipated ecosystem change.  We've got a really good track record of, kind of evolving around it. And we now have this wide products that gives value to people in lots of different ways, for journalism, [indiscernible] shopping advice, games, those all attract audiences and sort of different ways. Four of our five products are also destinations. We've got a very big registration model and lots of e-mails, lots of ways to be in touch with people. So, I would say we're feeling the pressure from audience. We've said that the referral sources, but also doing a lot of work, I would say, in the short-term to counteract that, but also to, kind of build the audience funnels for each product, which is really meant to be the medium and long game on counteracting that.
Doug Arthur: Great. Thank you.
Operator: And our next question comes from David Karnovsky from JPMorgan. Please go ahead with your question.
David Karnovsky: Hi, thank you. Meredith or Roland, I wanted to see if you could comment a bit more on the pricing initiatives, how that looked in the testing phase in terms of churn or subs, kind of uptick in the bundle? And then Roland, I think you mentioned a total of 1.5 million subs that will see a price increase. Can you confirm, does that number basically reflects the number of fully tenured new subs? And then can you also just confirm will that price increase be for $3?
Meredith Kopit Levien: Roland, do you want to take both of those?
Roland Caputo: Yes, sure. David, thanks for the question. So, on the pricing, we increased the price on about 550,000 news and game subscribers in the first quarter – most of them – about 500,000 of them actually were news-only subscribers, and we're happy with the results we're seeing in terms of retention there. It’s very similar to what we've seen in the past when we increased the price originally – up to $17 back in the beginning of 2020. So, all that's going according to plan. So, we're happy with that. On the number of subs that are going to ultimately get an increase this year. So that's going to be new subs, also game subs – it will also be the cooking subs, which will happen later in the year. So, I mentioned last quarter was about 550,000, mostly news. Next quarter is going to be about 700,000, and that's going to be mostly folks who are multi-product subscriptions. So, they're paying for more than one individual subscription. And then that will taper down for the rest of the year. But yes, the total we expect for calendar year is about 1.5 million people getting increases in their individual subscriptions.
David Karnovsky: And would you be willing to quantify the level of the [price rise] [ph]?
Roland Caputo: So, tenured new subs in general, are moving from $17 to $20 per four weeks and gains in cooking are moving from $5 to $6.
David Karnovsky: Great. And then, Meredith, just wanted to see if you could discuss just Athletic advertising, how that rollout is going and maybe how that's complicated just by the overall softer market you're launching into? Thanks.
Meredith Kopit Levien: It's gone well. I'll just remind folks on the call that we took our, kind of long-serving, highly effective Head of Times advertising, and we sent them over to the Athletic to run the commercial all the non-sub efforts there. And the idea behind that is, you take the playbook from The New York Times, which is premium ad canvases and first-party data and build that on the Athletic. And we really like what we see so far. The whole ad market is obviously uncertain and complicated and there's lots of pressure, but the Athletic is starting from a tiny base. So, even in a tough market. If you've got a great product, you can really get growth. And we like what we're seeing. There are two other things I'll say. There's just a ton of interest in advertising around sports and the Athletic is pretty wide in its coverage so that – there's a lot of marketer appeal there. And what we like kind of everything about it so far, but one of the things that we've been particularly focused on is bring new advertisers to the enterprise of the times, and I keep joking [indiscernible]. But that is also having a positive effect. So, it's all going well. It's early days. You're going to hear us continue to talk about building the audience for the Athletic and that's obviously going to be an important driver of how big the ad business can be as well. And we saw a really nice lead up in audience this quarter, but there's a lot more room to go and grow there, and we are highly, highly focused on that.
David Karnovsky: Okay, thank you.
Operator: And our next question comes from Vasily Karasyov from Cannonball Research. Please go ahead with your question.
Vasily Karasyov: Thank you. Good morning. Roland, I wanted to ask you sort of a modeling question. Now that your sales and marketing expenses are – have a different trajectory as Meredith pointed out with organic starts growing and so on, what is the best way for us to sort of think about modeling expenses, specifically cost of revenue, sales marketing, and G&A? Is it – some of them are just quarter-to-quarter will remain more or less constant like G&A. And then should we look at cost of revenue as a percentage of digital revenue, same with sales and marketing or should we look at quarter-to-quarter progression? I would appreciate your help here, especially if we look past the Q2 and in the outer years, how are you thinking about it? Thank you.
Roland Caputo: You're welcome. Thanks for the question, Vasily. I don't know if I'll be quite as specific as you'd like. But I think the way I would think about it is what we're going to continue to invest in our journalism as you know. And that quarter-to-quarter and year-to-year, that's important for us to, kind of grow our moat and continue to increase the value of the company. As you mentioned, we have slowed the growth on our marketing spend. And actually, we've been reducing that. I think going forward, you can think about that more as being in the range of what we're currently spending. So, we don't really see big drops from that area in the future and always with the possibility that we might see a reason to up spend in one quarter or another. But the general trend should be pretty flattish. Product development, Meredith mentioned how we've attracted some great talent over the last few years, and you've noticed that we've been putting a bunch of money into that area over the last few years. You can expect that to slow. That growth should slow over the remainder of this year and in the future. And G&A also should slow. We did spend quite a few dollars there over the last recent quarters. And we can expect that to slow as well. In terms of overall costs, as I mentioned in my prepared remarks, we expect to slow the rate of growth year-over-year in the back half of the year, and I'd say, most significantly in Q4.
Vasily Karasyov : Thank you.
Operator: And our next question comes from Kannan Venkateshwar from Barclays Capital. Please go ahead with your question.
Kannan Venkateshwar: Thank you. Roland, thank you for all the help over the years and all the best for the future and William welcome. I look forward to interacting with you in the future as well. And in terms of the pricing trajectory, Roland, you mentioned all the price increases that you plan to pass through over the course of the year. Could you help us think through what that means for the ARPU trajectory for the rest of the year? Because I think Q1, excluding the Athletic, you guys were up 2% on the core product. And sequentially, it was up as well. Should that accelerate going forward as these price increases take effect? [Multiple Speakers] Sorry, go ahead.
Roland Caputo: No, go ahead, give your other question.
Kannan Venkateshwar: The other question I had was on sales and marketing. I mean, the absolute dollars did drop year-over-year, but the ratio to sales actually went up after dropping for a couple of quarters, I think. And so, if we think about the quarter in itself, was there any extra spending you guys did from a unit growth perspective just because there were price increases and you want to manage that process or something along those lines? And is it fair to think about sales and marketing as a percentage of revenue? And is that how you manage that budget? Thanks.
Roland Caputo: So, maybe I'll take your second question first. Actually, we reduced the media spend, as you heard as in the press release and in my prepared remarks. But actually, if you split that between brand and direct acquisition spend, we actually spent a hair more in acquisition than we had last year in this quarter, but we cut way back on brand. So, there's a little bit of a rebalancing between that ratio of acquisition and brand. And yes, we did see a reason to spend a little bit more on direct for a number of reasons. One is, we're really pushing hard on the bundle because that's a big ROI to get folks up to the bundle. And that we've got those price increases in the market. But I'd say it's mostly because we're making a more fully focused effort on marketing the bundle. On your ARPU question. Starting next quarter, we expect year-over-year ARPU to be increasing. So, in addition to sequential increases, we expect the year-to-year increases to begin next quarter and continue for the remainder of the year. We have a large number of people stepping up to higher prices, which is really the biggest driver. It's a bigger driver than the price increases. You should understand that. And we'll be done lapping the acquisition of the Athletic next quarter. This quarter, even though we had the Athletic in both quarters. As I mentioned earlier, we only had it in our financial results for two months of the quarter last year, and we had it for three months. So there was still a bit of a dilutive effect there.
Kannan Venkateshwar : Got it. Thank you.
Operator: Our next question comes from Thomas Yeh from Morgan Stanley. Please go ahead with your question.
Thomas Yeh: Hi, good morning and my congratulations to Roland and Will as well. I wanted to ask about the pricing strategy for the bundle itself and kind of dovetail that with the really strong comments on engagement trends that you're seeing, Roland, you kind of just mentioned the majority of an ARPU uplift might be coming more from just the gradual migration of some of these promotional subs as we, kind of lap that one-year mark. Could you talk about the strategy around that initial cohort on higher pricing? I mean given their higher engagement, any signs of being able to take more than you would typically to a high full price tier relative to your stand-alone product, that would be helpful?
Roland Caputo: So, on the ability to take to higher prices, it's yet to be seen. Right. We fully believe in the value that the bundle will deliver. All of our early signs on all of those metrics are positive. We're only now beginning to see – if you recall, we only really leaned into the bundle beginning last year. So, we're only now beginning to see the initial surge of new bundle subscribers hitting the end of their promotional period. So far, so good. But I don't know that we have any indications that we'll be able to move them to higher prices faster than we were able to move the new sub cohorts for instance.
Thomas Yeh: Okay. That's helpful. And that really notable Athletic subscriber growth, even more so than overall bundle net ads. What were the big levers for the quarter? Where there any more new subscribers being granted access or is that purely organic?
Roland Caputo: I mean the biggest driver to the increase in the number of subscribers with access to the Athletic is those who are buying the bundle. That is far and away, the biggest driver to the increase in that number. We're actually much more focused on opening up that funnel and building the audience for the Athletic than selling individual subs right now. The focus is setting ourselves up to sell more of those in the future and to make the Athletic a more well-known brand and destination to both sell individual subs, but also to illustrate the value that is added to the bundle by the addition of the Athletic.
Meredith Kopit Levien: And I'll just add to that. If you think about what we've done with Wordles on games, Wordle is this incredible kind of megaphone to say, it's free, lots of passionate players played every day, every week. And then they get exposed to the other things The Times is doing in games and across the bundle. That is like in very broad terms, part of the aim with the Athletic. We want a really wide audience who comes to us every day, every week for their sports journalism and then they get to know the whole of the times as they do that. So, to Roland's point, the big thing we're aiming for right now on the Athletic is strong audience growth, and we like what we saw in the first quarter, and we're going to be focused on that for some time. The new editor who started, I'm forgetting if it was right at the end of the year, I think the very beginning of this year is off to a really good start and a lot of the moves we're making about, sort of being more on the news in sports and having the, sort of during game experience being rich should help with that.
Thomas Yeh: Great. Thank you so much.
Operator: And with that, we'll be concluding today's question-and-answer session. I'd like to turn the floor back over to Mike Brown for any closing remarks.
Mike Brown: Thank you for joining us this morning, and we look forward to talking to you again next quarter.
Operator: And with that, we'll conclude today's conference call and presentation. We do thank you for attending. You may now disconnect your lines.